Operator: Good day ladies and gentlemen, and welcome to the Fourth Quarter and Year End 2007 Teleflex Incorporated Earnings Conference Call. My name is Eric I will be your coordinator for today. And at this time all participants are in a listen-only mode. We will facilitate the question-and-answer session towards the end of the conference. [Operator Instructions]. I may now like to turn your presentation over to your host for today's call Ms. Julie McDowell, Vice President, Corporate Communications. Please proceed.
Julie McDowell - Vice President, Corporate Communications: Thank you, Eric. Good morning everyone, I'd like to welcome you to this conference call to discuss Teleflex's fourth quarter and full year 2007 financial results. Press release was distributed last night, the press release and a set of slides to accompany our remarks on this call are posted on the Teleflex website. Please note that this call will be available on our website and an audio replay will be available by dialing 888-286-8010 or for international calls 617-801-6888. The pass code number 0859245. Participating on today's call are Jeff Black Teleflex's Chairman and Chief Executive Officer and Kevin Gordon Teleflex's Executive Vice President and Chief Financial Officer. Jeff and Kevin will make brief prepared remarks and then we will open up the call for questions. Before, we begin I'd like to remind that some of the matters discussed on this conference call will contain forward-looking statements including but not limited to statements as noted on our slides. These comments relate to revenue growth, expected full year diluted earnings per share from operations before and after giving the effect of special charges, forecasts regarding operational performance, restructuring and other special charges, cash flow from operations, segment performance and operating profit margins percentage growth. We wish to caution you that such statements are in fact forward-looking in nature and are subject to risks and uncertainties. Actual results could differ materially from those in these forward-looking statements. Factors that can cause actual results to differ materially from those in the forward-looking statements we make today are included in our press release and in our filings with the SEC which can be accessed at www.SEC.gov. I will turn the call now over to Jeff Black.
Jeffrey P. Black - Chairman and Chief Executive Officer: Thanks, Julie. Thanks for joining us this morning. I want to begin with our overall performance in 2007. It was remarkable year for Teleflex. Our execution was outstanding; we delivered on our strategic objectives and created a strong portfolio which is now defined by our $1.5 billion medical business. We've re-positioned the Teleflex portfolio businesses with higher margins and more profitability and consistent long-term growth, and we believe we are beginning to deliver on the potential created by these portfolio changes and the acquisition of Arrow International.
]: In the fourth quarter alone we completed the Arrow acquisition positioning us as the leader in critical care products, acquired Nordisk Aviation Products, to take a leading position in cargo containment and completed the sale of our automotive industrial and fluid businesses generating gross proceeds of $560 million and in after tax gain of $108 million. With the number of transactions we completed and all of the moving pieces I want to focus on our bottom-line results. Continuing operations delivered a very good performance for the year, revenues were up 14%, cash flow from operations was $283 million up 43% over the prior year. Operating margins before special charges for the year were 13.7% up a 130 basis points compared to 2006. Slide 6 shows the consistency of our EPS growth from continuing operations excluding special charges. Excluding special items our diluted EPS in continuing operations was up 21% in 2007 to $3.24 per share from $2.67 per share in 2006 which on a comparable basis with 2005 was up 16%. We are reaffirming our 2008 full year guidance of diluted EPS from continuing operations excluding special items of $3.70 to $3.90 per share. We expect our comparable EPS for full year 2008 to show growth of more than 14% over full year 2007. The earnings potential of our businesses has continued to improve as a result of the strategic steps that we have implemented. Just to give you a sense of our execution ability this slide illustrates the major initiatives we moved forward on in just the fourth quarter. We completed the aforementioned acquisitions and divestiture. We utilized proceeds from this divestiture to pay approximately $530 million in debt in December of 2007. We also successfully completed the implementation of a new ERP system in medical, stayed ahead of our pace on our integration efforts with Arrow and completed certain restructuring activities in the aerospace and power systems businesses. And we go to the fourth quarter now. Overall the fourth quarter was highlighted by a significant change in the portfolio and continued improvement in our financial metrics. Revenues were up 30% primarily on acquisitions and currency. Core revenue growth did not meet expectations which would be addressed by Kevin in just a few moments. Operating margins before special charges were 14.4% for the quarter up 100 basis points compared with the prior year. In the first quarter after the acquisition Arrow had a strong performance with 6% revenue growth compared to the same time last year. We were pleased to see Medical segment operating margin at over 19% which exceeded our plans for the quarter. This is an indication of the progress we are making on achieving the synergies of the Arrow integration, so far the team has done a solid job. In Aerospace segment operating margins returned to the 12% range with increased sales volume in both cargo system and spare sales as well as an additional benefit from the facility consolidation in our repairs business. As expected Commercial segment operating margins declined, as a strong operating margin improvement in marine was more than offset by a loss in a power systems business. All told, solid results from continuing operations for the quarter, we also dealt with the transaction related charges, restructuring cost and asset impairment charges which impacted the quarter again, Kevin will detail these in his presentation. The next slide summarizes the business dynamics that we saw this quarter. In medical, sales in our Asia, Canada and Latin America business increased double-digits and we had good growth for disposable products in other international markets as well. We expect these markets will continue to be strong growth markets for us in 2008. North American surgical products sales were up in the quarter, but disposable medical product sales reflected a negative comp compared to the fourth quarter '06, when we had an additional week to the 53 week year in 2006. We also continue to see some weakness in sales to alternatives sites in North America and for orthopedic devices sold to medical device manufacturers. In aerospace cargo system sales increased double-digits with deliveries of new wide and narrow body systems, revenues for engine repairs declined, as we phased out lower margins businesses following the consolidation of operations. In commercial, marine aftermarket and international sales were up despite continued softness in the overall marine market. As expected the downturn in the North American truck markets hit our sales of auxiliary power units. To summarize, 2007 was a year of dramatic change. But we executed well and delivered solid results from continuing operations we ended the year and entered 2008 with a stronger portfolio positioned to deliver improved performance in the years ahead. With that I will turn over to Kevin to discuss the financial results.
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Thanks, Jeff. Good morning everybody. Let's start on slide 11 with a summary of fourth quarter results. Please note that all discussions are related to continuing operations excluding special charges unless specifically noted otherwise. For the quarter revenues were up 30% to $583.1 million from $448.8 million in the comparable 2006 quarter, largely due to acquisitions. Gross profit increased 450 basis points to 39.5%. We are witnessing the positive impact of the changes in our portfolio with only one quarter of contributions from Arrow in the Medical segment. We would expect this to improve over time. Operating expenses increased to 25.2% of revenues in the fourth quarter of 2007 compared to 21.6% in 2006, principally as a result of the Arrow and Nordisk acquisitions. We expect operating expenses as a percentage of revenue to trend down over the course of 2008, as the benefit from synergies increase. Operating income before special charges was $83.8 million in 2007, up 39% from $60.2 million in 2006. Operating margins increased 100 basis points compared to last year's fourth quarter reflecting the contribution of our expanding medical business and improved margins in aerospace. As expected, special charges had a dramatic impact on the quarter. Slide 12, provides a summary of results from continuing operations including the detailed special charges in the quarter. Fourth quarter 2007 included a number of transaction related charges related to the Arrow acquisition. Most significantly, we recorded an in process research and development charge of $30 million and a charge related to the fair market value adjustment to inventory of $18.6 million net of tax. We expect to incur additional special charge of approximately $7 million pre-tax in the first quarter of 2008 related to the fair market value inventory adjustment. We also recorded an adjustment of $3.4 million net of tax for deferred financing fees as a result of the early payment of long-term debt from the proceeds of the sale of the automotive industrial businesses in December. Restructuring and impairment cost in the quarter totaled $5.9 million net of tax and included intangible asset impairment in the power systems business and impairments of other minority investments, costs related to the Arrow acquisition and cost from the 2006 restructuring plan that is nearly complete. And as we discussed in January in a required annual goodwill impairment testing we identified an impairment in the power systems business that resulted in a charge of approximately $16.5 million. While these businesses enjoyed a healthy market early in 2007 market shares particularly for the North American truck market have adversely impacted our valuations. Excluding these charges income from continuing operations was $28.1 million or $0.71 per diluted share compared to $0.84 per diluted share in 2006. Turning to the full year performance, revenues for the full year 2007 were $1.9 billion up 14% over 2006 revenues of $1.7 billion. Gross profit for the year increased by 210 basis points to 36.7% as we benefited from the portfolio changes in one quarter of Arrow contributions. Operating income before special charges was $265 million in 2007 up 26% from $210.2 million in 2006. Operating margins of 13.7% represented an increase of 130 basis points compared to last year again reflecting the positive contributions from medical and improvements in aerospace. In addition, to the special charges that impacted the fourth quarter, note that in the third quarter we had a principally non-cash tax charge of $90 million related to our repatriation of cash from our operations overseas to fund the Arrow acquisition and to provide for future repatriation of foreign cash. Restructuring cost and impairment charges for the full year were approximately $28 million net of tax, as a result of facility consolidation in aerospace, the Arrow acquisition and the goodwill and intangible asset impairment charges described earlier. Excluding special charges, income from continuing operations was $128.5 million or $3.24 per diluted share, this is 21% increase over the $2.67 per diluted share we recorded for full year 2006 income from continuing operations, excluding special charges. Slide 15, illustrates our outstanding cash flow from continuing operations. For the full year we recorded $283 million of operating cash flow from continuing operations, an increase of 43% over 2006 and $189 million in free cash flow, an increase of 67% over 2006. Capital expenditures in 2007 were $45 million in dividends represented $49 million. Strong cash generation capability of our businesses allows us to effectively fund the debt repayment requirements associated with the Arrow acquisition, or continuing to invest in growth opportunities. Looking ahead to 2008, we expect continued strong cash flow. However, operating cash flow in 2008 will be impacted by integration in restructuring cost of over $40 million and tax payments related to the gain on sale of the businesses divested here year end and to cash repatriation from foreign sources. That said we are comfortable with our guidance for 2008 cash flow. Appropriate management of our capital structure is and has been a high priority for us. We have proven our ability over the years to increase borrowings to fund growth, and subsequently reduced the debt level in a reasonable timeframe. Prior, to the Arrow acquisition in October 2007, net debt was approximately $40 million, it increased to over $2.1 million upon financing of the acquisition and by year end 2007 net debt was reduced over $600 million to approximately $1.5 billion. We have strong operating cash flow in the fourth quarter of 2007, and utilized proceeds from our divestiture to repay approximately $530 million in debt in the quarter. We ended the year with net debt to capital of 52.7%. As we discussed on our outlook call in January we expect to make significant income tax payments in the first and second quarters of 2008 related to the gain on sale recognized in December 2007. And we'll utilize the revolving line of credit that we have available as necessary. Let's now look at fourth quarter results for the operating segments. Medical segment revenues increased 57% from $230.1 million in 2006 to $360.2 million in 2007. Core revenues declined 9% in the quarter and 1% for the full year. Obviously, acquisitions were the big factor in the growth coupled with the effect of the integration activities in the fourth quarter. In addition, the 2007 fourth quarter and year included one last week and than the 53 weeks year in 2006. We successfully launched the new IT system in October with minimal disruption. Naturally, we experienced efficiency challenges as personnel were trained on the fully functioning system however we are pleased with the outcome and are appreciative of the dedicated employees who made it happen. It's clear that in advance of the launch some distributors built inventory negatively impacting the revenues in the fourth quarter. In the fourth quarter Arrow sales grew 6% over the prior comparable period and contributed roughly $134 million to revenues. We also continued to see nice revenue growth in our international markets. Double-digit growth for Asia, Canada, Latin America business and steady sales of disposable medical products in Europe. In North America, surgical product sales were strong, while we saw declines during the year from product lines that we have been phasing out and from products sold to alternate sites, such as home health or long-term care facilities. Operating profit for the segment excluding acquisition related charges was $69.3 million compared to $49.9 million in last year's fourth quarter. Adjusted segment operating margins were 19.2%, a strong result in the first quarter after the Arrow acquisition. This bodes very well for our ability to achieve 20% plus operating margins from medical during 2008. For the full year, Medical segment revenues were up 21% from $858.7 million to over $1 billion, and adjusted segment operating profit was up approximately 30%, from $161.7 million to $211.6 million. Adjusted Medical segment operating margins exceeded 20% for the full year compared with 18.8% in 2006. Evidence again of our ability to execute effectively in our medical operations. As we said in our 2008 outlook call, we see the combined Medical segment at mid single-digit core growth in 2008. We expect revenue growth to be driven by continued penetration of our critical care product lines. We are releasing or have recently introduced new products that enhance our core venus access and respiratory product lines. And we expect continued growth on our international businesses, we are particularly excited about the growth potential in Asia and other emerging markets and some of the European markets we're combing the Arrow and Teleflex product lines creates cross-selling opportunities. We also expect our business serving medical device manufacturers to rebound slightly in 2008 with greater penetration from our SMD business acquired in April 2007 and with new products in our specialty areas. In aerospace, revenues increased 9% in the quarter from $110.4 million to $120.4 million, principally as a result of the $11 million contribution from the Nordisk acquisition completed in November of 2007. Core growth was flat as a decline in engine repair services revenue, was offset by an increase in the cargo systems businesses. The engine repair services revenue declined in the quarter resulted from the impact of product lines that were phased out with plant consolidations and with a customer insourcing certain products which started in 2006. Cargo systems revenues continued their momentum in the quarter with a double-digit increase on deliveries of new wide body and narrow body systems. Aftermarket spares an increasing percentage of total revenues were up again in the quarter. Operating profit was $14.8 million, up 12% over prior year compared to 13.3 million in last year's fourth quarter. Segment operating margins exceed 12% in the quarter as we benefited from consolidation and productivity improvements in the engine repairs business and increased sales volume in the cargo systems business. For the full year revenues were up 11% from $405.4 million to $451.8 million and operating profit increased 17% from $40.2 million to $47 million on the on the increase in volumes and solid execution of restructuring and productivity programs. During the fourth quarter of 2007 and early this year, we were selected as the preferred provider or SFE for the Boeing 747-8 with delivery scheduled to begin at the end of '08 and for the Airbus A350 scheduled for production in 2011. These new platforms and the addition of systems for the Airbus A330 and A340, create great opportunities for us in the future. As we said on the outlook call last month, 2008 will be a transition year in aerospace, as we invest in systems and technology development in preparation for this urgent demand in 2009 and beyond created by our position on new aircraft platforms, and increased demands for repairs on new engine types. Moving, to commercial obviously, the big news in commercial was the divestiture of our automotive and industrial businesses at the end of the year. Results you see here reflect continuing operations with automotive and industrial businesses reflected as discontinued operations for the full year and for comparison in 2006. Continuing operations in the Commercial segment reflects our marine power systems and rigging services business. Commercial segment revenues declined 5% in the quarter from $108.3 million to $102.5 million. Marine our largest business in this segment delivered solid performance in a weak market with sales up in the aftermarket and international market. Core growth declined primarily because of the dramatic decrease in demand for auxiliary power units in a weak North American truck market, when compared to the record revenue and profitability in the fourth quarter of 2006. To a lesser extent we also had a tough comparison in rigging services which had a strong year last year, with rebuilding of oil and gas rigs in the Gulf region, resulting from the devastating impact of hurricane Katrina. We saw a similar dynamic in our operating profits and marine business had strong operating profit improvement from volume, cost controls and productivity programs. Our systems in contrast posted a loss in the quarter. Overall Commercial segment operating profits declined from $8.3 million to $5 million for the quarter and operating margins slipped from 7.7% 2006 to 4.9% 2007. For the full year, Commercial segment revenues were $441.2 million up 3% compared to $426.8 million in 2006. Full year operating profits declined 25% from $30.5 million to $23 million the warranty charge of over $4 million in the power systems business in the third quarter negatively impacted the operating profit for the year. In 2008, we expect to see growth and margin improvement from our marine and rigging services businesses offset by a decline in demand for our power systems product for the North American truck market. As we said we expect our repositioned portfolio to deliver strong results in 2008. Revenues are expected to exceed $2.4 billion in 2008, an increase of more than 24% and we expect to achieve overall segment operating margins in the mid-teens for the year, a significant improvement over the margins prior to the changes in the portfolio. We see overall revenue and operating profit growth accelerating as the year progresses resulting in a stronger second half. The forecasted growth comes largely from volume increases, synergies, net of costs related to integration activities, and continued productivity improvements. Year begins with a heavy emphasis on integration activities and investments to ensure we maximize the synergies from the two latest acquisitions. Clearly spending will be higher earlier in the year with significant synergy benefits increasing as the year progresses to achieve the forecasted annual pre-tax synergies of $33 million to $37 million from the Arrow acquisition. And our cash flow story will continue to be compelling as we expect to generate over $250 million in cash flow from operations in 2008, excluding the significant tax payments mentioned earlier. The strong cash flow result from the operating profit improvement particularly in medical as the segment returns to operating margins over 20% during the year as well as from improvements in working capital management for the Arrow product lines. We have reaffirmed our full year 2008 guidance as provided in January. Before special charges we are forecasting an EPS range of $3.70 to $3.90 per diluted share for 2008. An increase of 14% to 20% over the $3.44 per share in 2007. Special charges which principally relate to charges from the Arrow integration and fair market value adjustments to inventory are currently forecasted at $0.60 to $0.67 per share. Earnings per share from continuing operations including these special charges is expected to be in a range of $3.03 or $3.30 per diluted share in 2008. With that let me turn it back to Jeff for closing comments.
Jeffrey P. Black - Chairman and Chief Executive Officer: Thanks, Kevin for providing some clarity to some of our numbers. As I said earlier 2007 was really a remarkable year here at Teleflex. We executed well through the dramatic change in the portfolio and today we are positioned to provide more consistent performance and sustainable growth for the longer term. It was a transformational year with many accomplishments related to our strategic objectives but quite frankly we are looking ahead. We are investing in opportunities for growth particularly in the medical and in the aerospace where our new platform wins and expanding installed base for cargo systems will provide significant growth opportunities for many years to come. We appreciate the hard work and the commitment of our employees during this year of significant change. As we begin 2008 we have the hard of integration ahead of us, but we are pleased with the progress we have made to-date and we look forward to fulfilling the potential created by the Arrow transaction and the significant improvements we made across our portfolio. With that I will turn it back over to Julie.
Julie McDowell - Vice President, Corporate Communications: Operator we are ready to take questions now. Question And Answer
Operator: [Operator Instructions]. First question comes from the line of Deane Dray with Goldman Sachs. Please proceed.
Deane Dray - Goldman Sachs: Thank you. Good morning, everyone.
Jeffrey P. Black - Chairman and Chief Executive Officer: Good morning, Deane.
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Good morning Deane.
Deane Dray - Goldman Sachs: The margins in medical being close to 20% closer that from an operations standpoint things are going fine and that's now your most important segment I recognize that but if we could get some further color on the factors of the 9% core revenue decline in the quarter, I know there's the extra week that's the factor, so take us through that what you think it might be talk about the pricing and anything geographic that might be a factor as well?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Yes Dean, I think as they try to outline in the comments there's just few things, obviously the week played into it and you may recall I think on the fourth quarter of call last year we talked about the impact of that extra week to last year's revenues and I think it was characterized at that time and in the $5 million to $6 million range that impacted '06. So I think you could probably use a pretty similar number to that for this year. I know that component as we said is we did launch the SAP system and there is certainly has been from the evidence that some orders from distributors may have been pulled into the third quarter in advance of that launch, which had obviously a negative impact on the fourth quarter. So, we saw some of that, as you look at ramp, its kind of over the quarter. October was a bit of a weaker month because of that phenomenon that I just mentioned. So, I think, things actually were better as the quarter progressed, and we were obviously working through SAP as we said a number of times, we feel extremely good about our success in the implementation of that but there is learning curve, training and so forth that did have few things. And from a geography standpoint as we've said Asia, Canada, Latin America those markets grew double-digit so we fell pretty good about that. Europe continues to be strong I think we outlined it pretty well in our comments, if some of the weakness was in the OEM medical device business and a couple of areas where we phased out some product line. So, we had everyone focused and working hard, with a couple of things with integration and SAP and so for but we fell pretty good about where we are heading into '08.
Deane Dray - Goldman Sachs: Kevin that's very helpful. Just if you could put some numbers on a couple of those things. First of all to do an SAP integration in the middle of all of this integration of Arrow is heroic, can you put some numbers on what that incremental spend was in the quarter and that with... all that flowed through operating results, correct?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Yes, I mean I can tell you what we invested in the SAP just from a pure dollar cost, maybe not from revenue basis, but we invested $3 million that went through the P&L on SAP in the quarter, now is about $1 million incremental for last year's fourth quarter.
Deane Dray - Goldman Sachs: Good and what... any sense of the discontinued product line? I trust these were lower margin products but what on a top-line impact might that have been?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Its similar to what we talked about at... I think in the third quarter we exited the guidewire business and some other product lines and I think on an annual basis, those were somewhere in the $7 million to $8 million range in terms of annual revenues.
Deane Dray - Goldman Sachs: Good and was there any increase noticeable on R&D and what is the view on R&D going forward?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: We certainly... in the acquisition of Arrow picked up a very strong R&D group Arrow has been known for sometime about... of their innovation and I think we talked a lot about it in terms our growth historically may have been more from acquisition and products related to acquisitions and there is this development. So, we are very much focused on developing the pipeline. We recently launched a new product a pressure injectable pick product that we are seeing good traction on in the market and we will certainly be taking a harder look and a more proactive approach to the R&D efforts even within the core Teleflex medical business.
Deane Dray - Goldman Sachs: And on the percent of revenue basis, is that going to be up ticking from previous trends?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: That is certainly the intent Arrow spent a higher percentage of their revenues in R&D typically than we have in the past and I think you are going to seen that to a blended rate over the segment. But as we proceed and take some of those dollars than maybe we were investing in compliance and SAP and putting those into R&D.
Deane Dray - Goldman Sachs: And Kevin I may have missed it, was there any change in pricing during the course of the quarter of note?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Not of note Deane, I mean there are certain product lines maybe in the European market that maybe have a little bit more pressure but of nothing of note, typically we see in the market that your holding your own on price and where you get more prices when you add feature and function to your product.
Deane Dray - Goldman Sachs: And that U.S. alternate businesses home healthcare and the orthopedics those have both been previous issues for U.S. I recall?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Yes, they have.
Deane Dray - Goldman Sachs: Right fine. And then last question, you reaffirmed the synergies number for the integration and I don't recall did you ever give a spilt between what was cost and revenue synergies or you did just gave us the sense of what that split might be?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Yes, I mean on the overall three year plan with respect to Arrow, its that 80% cost synergies and 20% revenue synergies. The '08 number is more highly slanted toward cost synergies, more of the revenue synergies will come a bit later in the process.
Deane Dray - Goldman Sachs: Its very helpful considering all that moving parts you got going on right now to reaffirm guidance free from cash flow I think is very admirable, thanks.
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Thank you Deane.
Operator: Your next question comes from the line of Jim Lucas with Janney. Please proceed.
James C. Lucas - Janney Montgomery Scott: All right thanks, Good morning all.
Jeffrey P. Black - Chairman and Chief Executive Officer: Good morning, Jim.
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Good morning, Jim.
James C. Lucas - Janney Montgomery Scott: And Kevin I too would like to thank you for the clarity provided on some of those numbers.
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Thanks.
James C. Lucas - Janney Montgomery Scott: Couple... if you would start on aerospace I know you are now a healthcare company but let's talk about some of these older businesses first. With regards to the engine repair, can you just bring us in terms of continuum where we are in terms of the insourcing issue and how much longer you envision that being a headwind?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: I think we are virtually at the end of that Jim. What was happening I think has gotten to the end and in some cases things that were going to be insourced... we had potentially better capabilities and retained some of it. So, I think the headwind with that particular customers is, is behind us?
James C. Lucas - Janney Montgomery Scott: Okay and in terms of any other particular headwinds that you are seeing from a customer perspective over any other trends on that repair side. Is there anything else?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: The important thing there Jim is to note that there is a transition going on in engine types and technology, and that's why we have indicated that '08 is a bit of a transition year because we are going to be investing in technology to ensure that, we are going to be the supplier of choice when it becomes to repairing these new engine types. But there will be a bit of not only technology investment but potentially facility expansion investment.
James C. Lucas - Janney Montgomery Scott: Okay, fair enough. And two housekeeping questions, on the cargo side, where does the mix stand currently of OE versus aftermarket?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Well sometimes its hard to characterize cargo as what's really OE, what's the aftermarket, we have historically been buyer furnished equipment, so for the most case we are selling through an airline, the systems will be certainly installed on the aircraft at the OEM but the aftermarket has been principally our customer. And certainly on the spare side its all aftermarket. As we start going SFE on a couple of these major platforms that shift to OEM will become a higher component, but offset by the increasing spare sales, with the installed base growth.
James C. Lucas - Janney Montgomery Scott: And let me just ask the question maybe a little bit differently and it could what I was really trying to get to is from a spares perspective given that the last several years you've had very good growth on the installation of these new systems. Where are we in terms of the... moving from the warranty phase to more of the spares so maybe systems versus spares as opposed to OE versus aftermarket?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: The spare sales are really increasing as a percentage of sales as I said in my remarks. But on the spares side our recent work we have about 330 installed systems right now. That many of which are beyond the warranty period that we are entering into certainly a much stronger phase of providing the spares. So, we are seeing each quarter this year we saw a slight increase quarter-over-quarter of spare sales. And we expect that's going to continue.
James C. Lucas - Janney Montgomery Scott: Okay. And one more housekeeping before asking strategic question with the new medical portfolio you talked about the growth in some of the more emerging markets if you will, could you give us the breakdown of medical today of North America, Europe, Asia and any other granularity in terms of Canada or Latin America?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: We haven't actually gotten out to that granularity I think in terms of the business I would probably say that if you want to look at it North America and with the acquisition of Arrow as you mentioned, as we mentioned before as Arrow was about 60% North America and 40% outside rest of world. If you looked at the Teleflex medical business I think we told you effectively we are about 50-50, now if you look at the combined portfolio we are still pretty much in that range of 50% North America and 50% out side the US.
James C. Lucas - Janney Montgomery Scott: And of that outside the U.S. what would Europe versus Asia be?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Well I know that a lot of companies these days are talking about the bricks countries and what they might be and the brick countries represent slightly less than 10% of our sales overall and slightly over 10% of our medical sales.
James C. Lucas - Janney Montgomery Scott: Okay. All right that's helpful. And then on the medical side looking at the potential I mean you have gone through clearly a lot of heavy lifting this year not only in the other aspects of the portfolio, the auto divestiture but even exiting some of these product lines. But two of the recurring themes that keep coming up or the OEM business and these alternative care, sales on the disposable side. In terms of product line divestiture how much more pruning needs to be done number one, and number two, could you help those of us on the outside understand what its going to take to start seeing that 4% to 6% organic growth that you have talked about the medical business being able to deliver over time?
Jeffrey P. Black - Chairman and Chief Executive Officer: Sure, Jim let me touch on a few of these and I'll throw it to Kevin for the tough aspects. On the OEM side I mean we have seen this with... again not just our medical business but obviously the seasonality and there is no question of the OEM as you get towards the back half of the year really managing their inventory. So, I would still say that we feel very good about that business. I think for us we have invested but I think it still provides a nice return for our shareholders and it still coincides with some of the value we bring to the OEMs and we still see that there will be further consolidation efforts in that segment of the market. So, I think the OEM, I think to be quiet quite blunt with you on the ortho side I think what we... the ortho business had kind of slowed down, now that it has come back its become pretty clear to us that we have lost some business there and we have a challenge to obviously get it back. But I think we still see the OEM as a key part of our overall medical strategy and we run it dramatically different than we do our branded products obviously. Off site I mean I think is has been in kind of an issue that's been going on I think Deane mentioned it and the urology issue we had and I want to say it was last year maybe the year before just a continuum. So, I think as we have tried spend more time in the critical care and in the hospital settings I don't necessarily think that's a negative reflection on our approach to off site, but I think the business has changed slightly as well.
James C. Lucas - Janney Montgomery Scott: Okay, then in terms of the... when does that organic growth begin to materialize since that seems to be number that investors are going to be focusing on more intently as the portfolios capability of delivering that single digit type organic growth?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: I think as we said particularly with the Arrow we saw Arrow deliver 6% comparable quarter growth in the fourth quarter. Certainly we took you through some of the puts and takes to our fourth quarter. But we continue to look at the new products, we launched the pressure injectable tick, we launched Neptune, we launched the CVC product. So, there are things that are coming out the R&D that are new products related. And we are also obviously looking at the cross-selling opportunities and some of the opportunities that will result from combination with Arrow. We are certainly going through a period of integration and as we all know that's going to go on for the better part of at least the first six to nine months of this year which will take a little emphasis. But as we look at the product portfolio I think if we Jeff alluded to some couple of specific things that are having a drain on the product portfolio but for the most part our core products continue to perform well.
Jeffrey P. Black - Chairman and Chief Executive Officer: I think Jim just to add a little color I mean we are headed down to our national sales meeting for medical on Sunday. So, I get to deliver a wonderful address to that group that I am sure we will inspire them to new heights if that adds any value.
James C. Lucas - Janney Montgomery Scott: And one final question and I am sure it will be inspirational Jeff. With regards to the early stages of the integration any comments positive, negative of what you have seen and any update with regards to the FDA issue?
Jeffrey P. Black - Chairman and Chief Executive Officer: Yes, let me touch on the FDA one because I don't think we addressed that in our comments. We had responded to the FDA in December they have since responded back to us, we are aligned in what we are trying to accomplish in the timeframe in which to do so I do not want to diminish that we do have a fair amount of resources geared toward getting to this compliant level. But overall I think we feel pretty good about where we are I think quite frankly we have had to really work pretty diligently with our customers on the communication of what the letter means and the intention of it but I would say at this point we feel pretty comfortable but as you all know the FDA really can come in at any time and I think our approach is as long as we are communicating with them we think we are aligned with trying to get to the finish line with them.
James C. Lucas - Janney Montgomery Scott: Okay. And on the integration any the commentary one way or the other of what you have seen early on?
Jeffrey P. Black - Chairman and Chief Executive Officer: I think we have been pleased as with any integration I think we have found some additional benefits and I think we have missed some areas that we thought we would get some additional synergies. So, the first 90 days I would say we are intense and I think the first thing was insuring that our sales force knew that we weren't looking to cut feet on the street because obviously they're the conduit to the customers, so I feel pretty good I think the corporate side has gone very smoothly, and I think that's where if there been any additional benefits that we derived in the quarter that's where they would have come from.
James C. Lucas - Janney Montgomery Scott: Okay, great. Thank you, very much.
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Right thank you, Jim have a good day.
Operator: [Operator Instructions]. Your next question comes from line of Brian Delaney with EnTrust. Please proceed.
Brian Delaney - EnTrust: Good morning guys, just a quick housekeeping question, the timing of the integration cost throughout this year, how should we think about those one time cost just from a quarterly or from a first half, second half perspective?
Jeffrey P. Black - Chairman and Chief Executive Officer: I think I try to dilute that out a little bit Brian as those from an integrating cost standpoint and a synergy standpoint, integration cost are going to be a bit higher early in the year, first quarter being the biggest component of that spending, and then the synergies in terms of their contribution are going to ramp up over the course of the year. So, as we look over the quarters I would expect to see improved earnings as we go through the year.
Brian Delaney - EnTrust: Okay. Thank you.
Operator: Your next question comes from the line Dan Rutter with WHV. Please proceed.
Daniel Rutter - WHV: Good morning, every body.
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Good morning Dan.
Jeffrey P. Black - Chairman and Chief Executive Officer: Good morning Dan.
Daniel Rutter - WHV: Hi, hi can you talk a little bit about the APU? Are you, I know that builds are down, I am kind of curious do you feel like the penetration rate of vehicles and engines being built, is holding in there or is there a decline in the number of APUs your putting in relative to the overall production?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Well the APUs themselves this year, there seems, I think be an overall drop not only from the build rate, but just in terms of the market channel itself, certainly with... hopefully with the way the price of fuel continues to go as we keep hearing about day-to-day, there is going to be more upside. Also the legislations coming in and 2010 is another, a mission an important emissions year. So, this year we expect to continue to be relatively weak, but we are looking out a year with respect to that business.
Daniel Rutter - WHV: Are you talking about the 2010 emissions standard for new engines?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Right, so which... what we experienced in 2006, and I think we eluded to it and in the remarks is that the fourth quarter of 2006 for our APU business was a record quarter. I mean it was record sales, record progress in that fourth quarter. So from a comp basis to the fourth quarter obviously, it was down but, if the market itself has been softened in '07 and starting out this year it looks to... that trend looks to continue. However, with new emission standard come in '10, is where we see '09 being a better year than '08.
Daniel Rutter - WHV: Sure, okay I get it. Its not that you are going necessarily change your dollar content on those newer engines or anything in 2010 I presume?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: No.
Daniel Rutter - WHV: Okay. Can you talk a little bit about the magnitude of the intangible write down?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Well it's I mean...
Daniel Rutter - WHV: And/or what brought that into existence I guess I mean I know that, market again is down but it seems like you probably would have expected some variability and I would have assumed that, that would have been kind of baked into your assumptions at the time it was acquired?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Yes, let's just be clear because the goodwill impairment is on the entire power systems business. So, when you look at that task you have to look at the entire segment of businesses rather than just per se the truck APU and you look at the prospects and the forecast and so forth for all those businesses in their totality as well as the full amount of the goodwill. So, there's actually more than the truck APU business in that portfolio, there is four or five businesses in there that had been acquired overtime. Though the relative goodwill may look significant in relation to maybe the APU business but it's a smaller portion in terms of the entire power systems business.
Daniel Rutter - WHV: Okay I didn't realize that, that's good.
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Okay.
Daniel Rutter - WHV: And can you talk about that magnitude, dollars?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: $16.5 million was the amount of the write-off.
Daniel Rutter - WHV: Okay, great. Thank you, very much.
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: You're welcome.
Operator: Your next question comes from the line of Michael Rehaut, with J.P. Morgan. Please proceed.
Michael Rehaut - J.P. Morgan: Thank you, gentlemen for taking my question, was curious to know what's your appetite or capacity was for further acquisitions, either in the current year or beyond?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Well I think Mike, I mean we've been an inquisitive company, I think when you see our net debt down to 52%, obviously management can sleep better than when we are above 60% but, we're still out there obviously, we would expect that we will continue to be a acquisitive, I wouldn't expect it to be of the size or magnitude of Arrow but I think we're pretty much committed that we will continue to do what we would, at least to identify as the standard bolt ons that we've done at Teleflex which can range from $50 million to $10 million going forward.
Michael Rehaut - J.P. Morgan: And you presumably... the bank facility that you have currently that helped finance the Arrow acquisition have covenants embedded in them, you've got pretty comfortable headroom against those covenants?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Yes we do.
Michael Rehaut - J.P. Morgan: And do you have a target sort of debt level whether it's against your total capital or your EBITDA for where you'd like to get the company to over the next couple of years?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Our ultimate goal and I think we even mentioned this as we went out with the Arrow acquisition, we went out as about just over, about 4.2 times on a debt to EBITDA basis and ultimately we've got that down, the way the covenants are calculated from a bank perspective below 4 at year end and our goal is to get down in the 2.5 to 3 range.
Michael Rehaut - J.P. Morgan: Okay, and then going forward where would you indicate that capital intensity of the business should be at? Sort of the CapEx spending?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: The capital expenditures, we expect this year between $60 million and $70 million, for the year, certainly some of that is maybe a little bit higher run-rate than historically but there is an element of CapEx related to our integration programs for Arrow.
Michael Rehaut - J.P. Morgan: Of course and then that could tick down and years beyond?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: Right.
Michael Rehaut - J.P. Morgan: And then last question if I may, how would you describe the evolving corporate culture that you are trying to instill at the company today?
Kevin K. Gordon - Executive Vice President and Chief Financial Officer: I would just say that we are glad to see '07 passed, with what we went through as a company. I think that nothing has really changed from an overall corporate culture obviously the moves we are making are geared towards the longer term and helping share holders understand and while we've gone from a very diverse business when I'd say five years ago 165 locations to today, we probably have less than 60, I think we are still committed that we are going to grow the business but we will be selective about where we are going to grow it and I would say overall we still want to be perceived as an engineering company with an entrepreneurial flare. So, I think the one challenge many investors has with Teleflex is because we participate in niche markets its always difficult to get comps on those niches but I would say that, that will always be a slant towards Teleflex as avoiding competing with the big guys and playing in smaller niches.
Michael Rehaut - J.P. Morgan: Right. Thank you, very much.
Jeffrey P. Black - Chairman and Chief Executive Officer: Thank you, Michael.
Operator: We are currently showing no more questions in queue at this time. I would like to turn the call over to Ms. Julie McDowell for closing remarks.
Julie McDowell - Vice President, Corporate Communications: Thank you. That concludes our call. An audio replay call will be available by dialing 888-286-8010, or for international calls, 617-801-6888. Pass code number 30859245. Thanks for joining us.
Operator: Thank you, for participating in today's conference. This concludes our presentation. You may now disconnect. Have a good day.